Matthew Wells : [Call Starts Abruptly] …CEOs, David Ossip and Leagh Turner and our CFO, Noemie Heuland. [Operator Instructions] Now before I hand the call over to David, I want to remind everyone that our commentary may include forward-looking statements. These statements are subject to risks and uncertainties that could cause Ceridian's results to differ materially from historical experience or present expectations. A description of some of these risks and uncertainties can be found in the reports we file with the Securities and Exchange Commission, such as the cautionary statements in our filings. Additionally, over the course of this call, we will reference non-GAAP measures to describe our performance. Please review our earnings press release and filings with the SEC for our rationale behind the use of non-GAAP measures and for a full reconciliation of these GAAP to non-GAAP metrics. These documents, in addition to a replay of this call will be available on the Ceridian Investor Relations website. And with that, I'd like to turn the call over to David.
David Ossip : Thank you, Matt, and thank you all for joining us today on our second quarter earnings call. Today, I'll discuss our strong second quarter results continued commitment to innovation in the HCM space and provide an update on our raised full year outlook. Leagh will provide more information on sales wins, successful customer implementations and continued scale across our organization. and Noemie will add detail to our quarterly performance and updated full year outlook. Before I dig into our financials, I'd like to congratulate the team. Our global workforce, our customer base and our partner network. There is momentum across the organization and our HCM ecosystem. And these results are evidence of that. Now turning to our financial results. I'm pleased to report that we exceeded guidance across all revenue and profitability metrics in the second quarter. And we are pushing the full beat across all revenue and profitability metrics into our full year guidance raise. On a constant currency basis, Dayforce recurring revenue grew 39%. And Dayforce recurring revenue ex float grew 28% year-over-year at constant currency. Turning to the bottom-line metrics and cash flow. Adjusted cloud recurring gross margins of 78.1% continued to expand by 177 basis points year-over-year. Adjusted EBITDA was $98.4 million or 27% of revenue and expanded meaningfully year-over-year by 640 basis points. This is a result of the revenue upside in the quarter and our continued focus on operational efficiencies. Adjusted operating income was $83 million or 23% of revenue and also benefited from these same trends. And we had record operating cash flows of $82 million in the quarter. Cash flow has been an area of focus for the organization. And so I'm happy to announce continued progress along this metric. As I mentioned, based on our first half performance, we are raising both our growth and profitability outlook for 2023. As a result show, we have and are well positioned to execute in the current macro environment and are confident that our focus on durable and profitable growth will lead to continued success and value creation.  Our results are also the outcome of our commitment and our ability to continually innovate and deliver real quantifiable value to our customers. This has allowed us to win new customers while at the same time, increase product density across both new and existing customers. As Lee will speak to, year-to-date, we've attached the full suite to 50% of new sales. This is validation of both our sales and product strategy. We're seeing healthy adoption of our talent solution and the new Dayforce Hub experience continues to resonate with customers. Dayforce Wallet continues to see healthy adoption across our new and existing customer base. We are attaching the solution to 80% of new sales, and we now have 1,640 customers sold and over 1,000 customers live on the wallet. And we expect to cross $2 billion of loans within a few weeks. And last quarter, Joe spoke to our AI road map. I'm pleased to announce continued progress on that front. We are advancing our usage of generative AI internally as well within our products. In our customer support organization, our generative AI support tool is now answering over 85% of directed questions, which is up over 10% from last quarter. This is on pace to provide a 10% gain in overall productivity in the customer support organization. All of this is a byproduct of training the model against implementation guides, knowledge bases and other internal documentation that is refined against customer questions and responses. Across the Dayforce platform, we see countless opportunities to add generative AI to up-level our analytics and augment our already intelligent solutions for customers. Joe and his team are thoughtful in their referred chair and are excited to showcase what's next at our Insight conference later this year. And finally, I'd like to discuss global and enterprise. The Dayforce platform was built to address the global market from day 1. And part of our competitive advantage is offering native core HR, talent, workforce management and payroll solutions to almost every major geography. On this front, we are well ahead of our competitors. In the quarter, we developed an extendable formula-based global payroll engine that allows for rapid adoption of new native Dayforce global payroll for most countries across the Middle East and our breaker. And we continue to progress with our customers on our major payroll expansion into Germany. Our charter customers are now running payroll in country and we are progressing with the German ITS G certification Board. We expect German payroll to be generally available in Q1 of next year. And on the Enterprise front. We brought live 279 net depos customers in the first half of this year. Within that cohort of customers, our go lives within the segment of customers of over 6,000 employees more than doubled year-over-year. And at the same time, year-to-date, average deal size has increased by 17%. Another incremental data point validating our ability to sell a broader solution set, expand globally and to shift our market. In summary, Ceridian remains positioned as an innovator and share taker in the global HCM market. And before I turn the call over to Leagh, I'd like to welcome customers prospects and partners to our flagship Insights conference taking place October 2 to the fifth in Las Vegas. We are looking forward to another record-breaking year. One last item to discuss I'd like to share that Noemie has decided to pursue outside opportunities. Noemie will be with us up until the end of the year and will help us onboard her successor. I'd just like to say thank you to her for the last 3 years. With that, I'd like to turn the call over to Leagh.
Leagh Turner : Thank you, Davin. Echoing your comments, I'd like to underscore the strong momentum we are seeing throughout the entire business and the reason we're leaning into innovation across the Dayforce platform. Propelling both growth and innovation is this once-in-a-generation moment, driven by 3 intersecting opportunities that we are uniquely primed to take advantage of and which customers are reaching to us to help them through. The first is a complex macro environment. We help customers identify opportunities for productivity and efficiency, which they can then use to create real return and real value. Second, every organization in the world is navigating the mandate for a more connected workforce. Given the new social contract between employee and employer in this boundless world of work and Dayforce is a single global full suite people platform, which supports both the employee and the employer in this new world of work. Third, in this era of AI, jobs will be transformed, and work will get done differently. This is a historic moment it really is, and we are being trusted to help our customers drive workforce transformation, not renovation in the era of AI. And if we continue to ride the wave of these 3 intersecting trends, which we have to date, we can be the people platform of this generation. Because the absolute toughest issue that companies face today is that the work is agile and flexible and efficiencies drive growth. And other HR technologies are not known for their scale and flexibility. Moving to the quarter. As of Q2, we have nearly 6,300 customers on the Dayforce platform with more and more customers adopting our full suite. In fact, globally, 50% of new sales are full suite in 2023. That brings our full suite total customer base to 40%. We are a full suite company. Building on this motion, our add-on sales back to the base continued to trend ahead of expectations and represent approximately 30% of total sales year-to-date. As David touched on earlier, this validates our ability to land and expand and to deliver maximum value to our customers. Driving this momentum has been the realignment of our revenue and customer experience organizations under Steve Holdridge which we announced in Q1, and we continue to see both results and efficiencies from that decision. In this quarter, we announced the appointment of Sam Alkharrat as Chief Revenue Officer reporting to Steve. While we were not planning to hire for this role so quickly, Sam was a talent that we could not pass up, given his 30 years of experience as a global enterprise SaaS leader. He is a true operator who understands scale and durable growth, especially through the build-out of incremental revenue streams and sustainable ecosystems. His joining is yet another indicator of our ability to attract truly differentiated talent globally, and it's a testament to the fact that we are doing something very, very special here. Given the impact he's had already, we are so bullish about his future in this company and the benefit will be felt by our people and our customers. Now let me get into a few notable wins and go-lives. In Q2, new customer wins included. European aviation services company with 55,000 global employees, which selected Dayforce to support its people operations in 35 countries. A leading professional services company with 33,000 employees in 9 countries chose Ceridian as its trusted partner for global managed payroll, U.S. consumer goods manufacturer with 35,000 employees globally added Europe, the Middle East and Africa to its partnership with Ceridian after choosing Ceridian for its Latin America and Asia Pacific operations in Q4 of 2022. And a leading global jewelry company with 30, 500 employees selected Dayforce to provide a single workforce management solution across 39 countries. Also notable, organizations that we took live over the last quarter include: A multinational DAX 30 chemical and consumer goods company with 60,000 employees globally is continuing its very successful implementation with Ceridian, expanding its day first deployment to 20 countries and approximately 27,000 employees to date. A leading global pet care conglomerate with 30,000 employees, launched Dayforce to its U.S. and Canadian workforces to help standardize operations and reduce turnover. And a luxury automotive manufacturer, piloted Dayforce HR and workforce management to a large group of their employees in Germany with plans to expand to its full German workforce of 10,000 as we move out of charter in early 2024. Also fueling the value our customers get from implementing Dayforce is the progress we are in the partner ecosystem. It's really been phenomenal. In Q2, we announced the evolution of the Ceridian partner network to better align with our customers' journey by matching partners with customers at critical moments to drive continuous value. Within CPN, we saw Deloitte Australia, PwC U.K. and RSM accelerate the growth of their Dayforce offerings. And we also joined the Ernst & Young Global Alliance Partner program, bringing the transformational benefits of Dayforce together with EY's extensive array of services and industry insight. Now turning to product. Q2 saw meaningful advances across 4 critical innovation areas for our customers. Experiences, openness, compliance and intelligence. On the experience front, we made our differentiated experience hub available globally and enhanced our people search capabilities on compliance, we continue to earn our placement as the absolute market leader with customer-driven features such as Flex Time pay and shift bidding. On openness, we're accelerating customers' ability to leverage our ecosystem and create more connected systems with innovations like Dayforce Integration studio, which now has interoperability across our entire partner network. And last, but far from least, we continue to deliver on empowering our customers with better intelligence, powered by AI with the launch of predictive tools like Dayforce Career Explorer and the burnout dashboard available in Dayforce people analytics. On the topic of AI and as David noted, we're quite pleased with the progress we're making to integrate AI across our business because getting this right really matters, and we are seizing the opportunity to make radical breakthroughs in delivering trustworthy innovation with great care. Of course, this includes our product road map with the use of tooling in areas like talent management and career pathing, as Joe spoke to last quarter. but also ensuring that our entire company is finding ways to lean into AI to drive efficiency and value. We fully believe that AI innovation begins with our people. We have set up a lab function focused solely on the iterative work required to drive workplace use cases enabled by AI in addition to creating plans to roll out AI training internally ensuring that all of our employees, no matter their function are AI literate. It is this continued investment in our people that we believe is a foundation for our market differentiation as underscored by accolades in Q2, including being named one of Newsweek's top 100 most loved workplaces. Our employees' passion for our customer success is also super inspiring as is their focus on furthering our commitment to ESG and to the communities in which we work. In Q2, we held our first ever global volunteer month, which are people rallied behind as only Ceridian people can, and we were honored to be awarded as 1 of USA TODAY's Americas climate leaders in 2023. We also have earned a AA ESG rating and placement in the leader category from MSCI for the second year in a row. In closing, this quarter showcases that we continue to fire on all cylinders. We lean into every single part of the business to ensure that we are progressing and primed to be the go-to partner for HR organizations in this absolutely critical moment of opportunity. In one of the many, many conversations I had with customers this quarter, one of them said it best by noting. You are the closest thing to the Holy Grail of modern HR technology that has ever existed. You are set up for generational growth. you are everything that we thought you were. I think there is no better moment than insights this October to connect and to communicate and to celebrate with the Dayforce community on all the goodness that we have in store for their people and organizations. It truly is a brand-new day for us. Now before I hand it over to Noemi to close this out, I'd also like to offer my very deep gratitude for her leadership and counsel these past years. She has been a wonderful colleague and an even more dear friend. And she's helped us drive Ceridian through a tremendous stage of growth, and she will leave us more than ready for our next stage.  Thank you, Noemie. I wish you absolutely all the best, and I'm going to turn it over to you to bring us home.
Noemie Heuland: Thank you. Our second quarter results are another proof point of the strength of our business. I'm happy to report that all Q2 metrics exceeded guidance, giving us confidence to raise our outlook for the remainder of the year. Dayforce recurring revenue grew 39% at constant currency, underpinned by Dayforce recurring revenue ex float growth of 28% at constant currency. Growth here reflects stronger lives of larger customers and sustained employment volumes. Adjusted cloud recurring gross margins up 78.1%, expanded 177 basis points year-over-year, reflecting continued scale in the Dayforce business. The combination of healthy revenue growth and expanding cloud gross margins helped drive adjusted EBITDA of $98.4 million or 27% of revenue. Operating cash flows of $82 million is a record quarterly number for the company. This reflects continued discipline regarding expense management and working capital needs. As previously communicated, we continue to expect at least 50% adjusted EBITDA conversion into operating cash flows in fiscal year 2023. Looking ahead towards Q3 and the remainder of the year, our Dayforce revenue guidance reflects sustained employment volumes in addition to a strong quarter of go lives. Notably, we continue to expect and remain on track to bring some of our largest customers live in Q4. In the third quarter, we expect Dayforce recurring revenue ex float to grow in the range of 26% to 27% at constant currency. And for fiscal year '23, on the back of a strong first half of the year, we are raising our outlook for Dayforce recurring revenue ex float and now expect growth in the range of 27% to 28% at constant currency. Our float revenue guidance of $38 million for Q3 and $160 million for the year reflects typical seasonality in the second half balances and relatively stable rates. With respect to total revenue, we expect between 17% and 18% growth at constant currency in Q3 and 21% to 22% for the full year. The full year raised outlook accounts for Q2 strong performance of Dayforce, Powerpay and float, while we manage the shift of our professional services revenue, especially implementation to our system integrators and partners. Turning to profitability. We expect Q3 adjusted EBITDA in the range of $89 million to $91 million and now expect fiscal year '23 adjusted EBITDA to be in the range of $384 million to $392 million or a $15.5 million raise at the midpoint. Profitability in the second half of the year accounts for some level of investments into the business, especially in sales and marketing, as we prepare for INSIGHTS in Q4 which is typically our largest quarter, both in terms of new sales and go-lives. Last, Ceridian has undergone tremendous growth and scale since I joined in 2020. And our results continue to demonstrate the resilience of our business and steady progress towards our midterm financial goals. So after 3 amazing years working with the leadership team, I decided to pursue other opportunities, but will ensure [indiscernible] CFO transition in the upcoming weeks and months. It's been an honor to work with our colleagues around the world who are so deeply committed to our brand promise to make work life better. I'm very confident in the path ahead to Ceridian and our incredible community of customers. With that, Matt, I'll turn the call over to you.
Matthew Wells : So we'll take our first question from Kevin McVeigh of Credit Suisse.
Kevin McVeigh : Great. And any congratulations, and thanks for your contribution at Ceridian. I wonder if we could go back to the guidance, just a really, really nice outcome, boosting the revenue and really the outsized EBITDA. Iis that EBITDA -- does it reflect, David, I think you mentioned a 10% increase in productivity as a result of AI? Or is that something that would be incremental as we think about it in the back half of the year? And again, very, very strong results. Does it factor in any macro change at the margin? Or just any thoughts around that, again, a really, really nice outcome.
David Ossip: Kevin, thank you for that. Let me just unpack that question. First, we have flowed through the full beat into both our Dayforce recurring ex float to the EBITDA. And I am going to give clarity on that. we are raising the Dayforce recurring revenue ex float by $10 million, which is the combination of both the Q2 beat and the Q1 beat. So not only have we flowed to Q2 through, we flowed the full half one beat throughout the year. In terms of adjusted EBITDA, we are raising by 15.5% at the mid, which is a combination of the Q2 adjusted beat of about 8 million -- and as well, we have increased our float expectations for the second half of the year by 6. And when you add the 2 together, we are raising by more than a combination. So just to have clarity. In terms of where we are getting increased productivity, as you know, we have been very focused on the efficiencies of the actual business. As I mentioned, and Leagh mentioned, leveraging AI and generative AI is part of our strategy and would be included in some of the efficiencies that we would expect for the remainder of the year. But thank you very much for the question.
Matthew Wells : And our next question comes from Mark Marcon with Baird.
Mark Marcon : Noemie, it's been a pleasure working with you. Congratulations and best wishes for the next stages in your career. With regards to the guide for recurring Dayforce revenue ex float, it looks like there's going to be some acceleration in the fourth quarter relative to the third quarter and at the midpoint of the guide. Is that just because of the really high level of confidence that you have with regards to some of the bigger wins that you announced a few quarters ago that are just ready to go live and anything else that might be contributing to that? And how do you factor in the macro environment as it relates to those elements?
David Ossip: On the macro side remains positive, and we remain optimistic. Regarding Q3 to Q4, there's typically some seasonality between the 2 quarters, and that would be indicative of that.
Mark Marcon : Great. And then David and Leagh, you guys are obviously investing globally across the board, and yet the margins are expanding nicely. Can you talk a little bit about what that -- how that reflects on the scalability and the profitability of the business with existing clients? Because I would imagine that, that really suggest that what you're doing with your current clients that have been in place for a while, the profitability is really increasing substantially.
David Ossip: Thanks, Mark. If I look at the gross margin on Dayforce recurring, which is 78.1%. It's up 174 basis points year-over-year. In terms of global -- as you know, Dayforce was designed from day 1 to be global. I would say we have about a 10-year lead on any competitor from a global perspective. And I think the results reflect that we are operating at scale globally with a full global operational model. I think Leagh could add a bit more detail to that as well.
Leagh Turner: Yes. The only thing I would add, just anecdotally, is that -- when we look at Q2, the results across the portfolio were very, very even in that every region performed exceptionally well. And you would also have noted, Mark, from our sales win commentary, both in the prepared remarks and in the press release that we're now selling very large transactions in every region in which we operate, both full suite and land and expand. And so we will continue to do that. It's the reason that our add-on sales back to the base continue to be in the 30% range. And things are working really well as it relates to our entire global footprint.
Matthew Wells : And our next question comes from Siti Panigrahi from Mizuho.
Siti Panigrahi : And Noemie, my best wishes as well we are going to miss working with you. So my question is about large deals momentum. It's good to see now that 30,000-plus kind of deals back in Q2 versus Q1. So wondering how does the pipeline look like right now for the large deals at this point? And I saw that we've been expanded Dayforce platform to now Middle East and Africa countries. So can you help us understand the momentum in the pipeline in large deals. And I have a follow-up.
David Ossip: So great questions. The best metric, I think we have in terms of momentum upmarket. If we look at the number of deals that went live in the segment above 6,000 employees, it is up 125% year-over-year. So we're seeing significant momentum upmarket and many of those are global accounts. In terms of global payroll, we have developed an extendable aero engine that is deployable across most of Africa and across the Middle East. We already do have a Dayforce customers in countries like Kenya and Mauritius and South Africa.
Siti Panigrahi : Okay. That's great. And then David, these large deals you signed last year, how is the go-live tracking so far?
David Ossip: It's tracking very well. You see that again if we look at the metric that I just spoke about, the number of deals -- the number of customers that went live in the 6,000 and above segment, which is the largest segment that we actually track and disclose is up 125% year-over-year. And I would say sales performance in the quarter in large enterprise and enterprise were both strong. Leagh, anything you would add about momentum in large enterprise or enterprise.
Leagh Turner: I mean I just echo the 17% year-to-date deal size is up 17%, which is exceptional. And perhaps I'll say rolling for quarter pipeline is very strong. We're set up for a very strong back half and we're really pleased that Sam has decided to join us. He's an excellent addition. He's an exceptional technician - and he's done a really good job of getting his speed in, really understanding the business. We'll make a few tiny tweaks to the go-to-market in order to get things to work even better. but I would expect that we can continue to accelerate with his addition.
Matthew Wells : Our next question comes from Michael Turrin of Wells Fargo.
Michael Turrin : Great. Appreciate you taking the question. I just given the commentary on the macro continue to point to resilience, and it's maybe not the norm. I'd just love to hear if you can compare and contrast any differences you're seeing across regions or market segments. Is the resilience you're seeing you think at all a factor of your move up market and some of the larger customers that you're addressing? And just -- I know you've gotten a few questions on it, but any details you can share around the visibility into those Q4 deals and some of the work you put in place to enable that to remain on track given we're now August. And it sounds like a pretty healthy build between now and end of the year.
David Ossip: Michael, as Leagh pointed out, we believe that we'll have a strong second half on top of a strong first half. We saw employment levels come in above our expectations in the quarter and in the first quarter of the year. I believe what we've been saying about the macro is positive and optimistic and has been consistent over the last number of quarters.
Michael Turrin : Just -- I mean, maybe a little bit more from Leagh on the go-to-market side. The appointment of Sam sounded like something you couldn't pass up. You've got some partner relationships that are referenced that are broadening out. Can you just speak to the signals that you're seeing some of the go-to-market investments you're prioritizing and just put some more context around the moves you're making.
Leagh Turner: Yes, for sure. I mean, a little bit of digging would tell you that some of us have some past experience with Sam. And he's just -- as you said and I said, he's an exceptional addition and we just couldn't pass them up. As you know, not only does he have great, let's call it, sales and go-to-market and customer experience, but he's also excellent at analyzing and assessing how to grow a sales ecosystem. And we cited in the first quarter that we had a 76% increase in the number of consultants that had been trained on day for us, and that we're now in the ecosystem. And you can see that really starting to pay some serious dividends. The ecosystem continues to mature. We are ahead on have them sold with SIs, kickoffs with SIs, go-lives with SIs and since Sam has joined, he has some smart ideas about how we might accelerate that even further, not only with SIs, but with influence partners, third-party revenue partners, and additional relationships that we could use to generate incremental revenue streams. And if I could just say to your original question that David responded to -- the macro, as we said last quarter, continues to be exceptionally favorable to us. Customers during tricky macro look for efficiency. They have no other way to drive growth, and we deliver efficiency Secondly, everybody is still trying to figure out this debate through the future of work, do people, how do people work, how do they collaborate, how do they stay aligned and HR technology serves all of that? And then lastly, as it relates to AI, everybody is wrestling through this. What will work be, how will work be displaced and made different and the reality is we're able to cancel our customers through that change, and we will even more so as the trend continues to emerge. So we see really good tailwinds for a very long protracted period of time.
Matthew Wells : And our next question comes from Dan Jester of BMO.
Dan Jester : Great. David, can you just remind me about how you're thinking about the conversion of some of your past acquisitions to Dayforce and how we should be thinking about that trajectory going into next year?
David Ossip: Yes. It's -- if I look at the APJ side of the actual business inside the quarter, we had about $21.8 million of revenue. We now have effectively classified the accounts into green, yellow and red in terms of ease of movement towards a force alongside that as well, as you know, we look at upselling them onto the talent and the workforce management component and part of that particular journey. We're beginning to start the migrations or position of the migrations right now and will continue for a number of years. Leagh, anything that you would add?
Leagh Turner: No, I think you covered it.
Dan Jester : Great. And then with regards to implementation and sort of the push to more partners there, it was great to see that you had a partnership with an integrator to take a customer live. Maybe just an update as to kind of how you think that, that is going to progress again over the next year. At what stage do you think partners do a bit greater chunk of the implementations, especially as you move increasingly upmarket.
Leagh Turner: I'll grab that by in -- first of all, great question. Thank you for it. As I said, our partner ecosystem, which started at like a standing start 3 years ago has now progressed very significantly. I would say when we look at our sales wins, I don't know, 2/3 of them have been influenced by a partner in some regard and that spans virtually every single segment in which we operate. And what you will continue to see is that the pipeline will increase as a result of that network effect. We imagine that more and more customers over time will be kicked off and brought live with partners. And as that happens, our partners build value-added services around Dayforce, which become very rich practices that they can continue to build their business upon over time, which is excellent for us and becomes in effect irreversible. So I would say we're still in relatively early innings. It's working really well better than perhaps we could have ever expected, probably as a result of the fact that our technology is so strong and the demand is so high. But as we continue to grow, I would imagine you'll only see that increase. And one thing I would note is that we're now seeing what we would call a mega deals happening with partners in the large enterprise space, brought to us directly by them, happening much more consistently and being brought live with real ease and proficiency.
David Ossip: One thing I would add to that is if you actually look at the number of projects that were kicked off by SIs in the quarter, it grows to 35% on a global basis, which is up obviously significantly year-over-year. You'll also see that reflected if you do the breakdown of our total revenue line, you'll see that we're shifting the professional services now more towards the actual SIs. And as you go forward, you would expect less and less of our revenue -- total revenue from professional services as our hope would be that we focus on becoming a scalable software company, leveraging our SI partners to do the majority of the implementation.
Matthew Wells : And our next question comes from Raimo Lenschow of Barclays.
Raimo Lenschow : Thank you. If you look -- the highlight for me this quarter were like the wins with customers, it's kind of thousands of employees, which is kind of really a confirmation for the direction you are going there. What are you seeing in terms of the early-stage pipeline or the willingness of people to engage with you now like reference customer wise, you should have like a lot more. What do you see in terms of like considering the cycle and everyone is worried about what's going on in the economy versus kind of the success you're having there? Like what's the nature of the conversation there?
David Ossip: Raimo, thank you. But we're very focused effectively on delivering quantifiable value to the customers. And in today's environment, that does come into focus, many of the organizations that look to us are looking for HR digital transformation, IT simplification, a movement towards those shared services and globalization, effectively improving decision-making through the use of AI, generative AI and just general, very powerful analytics. And obviously, we're looking at the overall experience as we move to a more simpler system that runs obviously at scale and runs globally. And that, as Lee pointed out, has led to a very robust pipeline, I think, very good execution within the first half of the actual year. Leagh, hat would you add to that?
Leagh Turner: The only thing I guess I would add is just thank you, Raimo, for pointing that out. You would know a couple of years ago, we said that we were going to meaningfully push up into the enterprise and large enterprise space. And as you noted, every single customer that we listed either in prepared remarks or in the press release, are many, many thousands of employees. It's a real testament to us setting our mind to do something saying we would do it and delivering.
Raimo Lenschow : Yes. And then, Leagh, one for you, like, obviously, having tiny tweaks with like Sam joining, like it tweaks is always something that makes kind of people a little bit nervous as it happens like more in the middle of the year. Can you think -- is this like kind of a little bit more moving more enterprise, getting more strategic? Or how should we think about that congrats from me as well.
Leagh Turner: Thank you. I mean I would say the following. I think that you prepare a thorough go-to-market and you launch it at the beginning of every year, together with sales bags and quotas and any changes you might make to segmentation or territories. And it is very normal in the enterprise SaaS space to make minor modifications at the midyear point. which is all work considering doing. I'll give you an example. We're seeing real movement in our full suite sales and lots of interest in our talent products. Maybe we can add some overlay resources in order to continue to lean into that thrust, so that we can move faster to being a full suite company, and we can ensure that those customers in our current customer base who haven't yet taken advantage of that technology do. So that would be an example of a change we might consider making. No sharp turns, no major moves just a few tweaks perhaps to drive greater increment in the back half of the year and to set us up for a great 2024.
Matthew Wells : Our next question comes from Steve Enders of Citi.
Steve Enders : Okay. Great. I didn't want to ask on the comment about deal sizes being up 17% versus last year. I mean, good growth there. I guess how do we be thinking about the components of that growth? Is it primarily being driven by these larger seeds and moving more upmarket? Or how much is the expanded suite and more modules helping support the up and support that growth there?
David Ossip: It's very balanced. If I look at the average number of modules across the customer base, it's up about 4x relative to 2021. So we're obviously seeing more products being used higher module density across our client base. But as well, if we look at the number of go-lives in the upper market segment it's up 125% per year. And for us, it's very much about having a durable growth strategy that runs for a very long period of time.
Steve Enders : Okay. Got you. That's helpful. And then on the guide, I think last quarter, you talked about seeing upside from employee levels and that not necessarily being rolled forward, I guess, was there any change in how you're thinking about those components to the current outlook and kind of what you saw this quarter on that front?
Noemie Heuland: Yes. So in substance, what we've done is we've removed the hedge that we had in Q1, you may recall we talked about the approach around employment levels, and now we feel very confident with what we've seen in Q1 and the second quarter. So we flew the entire beat of the first half through the second half.
Matthew Wells : Our next question comes from Matthew Pfau of William Blair.
Matthew Pfau : Great. One question for me on the global payroll efforts. David, you mentioned that you're well ahead of competitors here. And I think clearly, some of your competitors have shown more interest in the space recently. Maybe you can discuss some of the challenges that you believe your competitors will face when trying to replicate what you have built? And how do you think your offer differs from what some of your competitors are doing?
David Ossip: That's a very good question. There's a lot of complexity in terms of going global. It starts with the global HR model that you need to have in place. I don't believe it is possible to take a U.S. product and retrofit it to be global. There are certain data elements that have to be tracked and not tracked on a global basis. There are elements when it comes to the actual cloud environment that you're deploying and where the data actually resides. There are processes that have to be in place as well as to who is allowed to actually touch the data outside of country and how you operate on a global basis from that particular perspective. From a workforce management perspective, the way that time and attendance calculations work, whether it be over time, whether it be scheduling, whether it be premiums, when be penalty pay are not based on North American or U.S. paradigms of continent. If you go to Europe and you get into areas of like working councils, working directives that have no meaning. If you go into geos like New Zealand, quite different from even what you would find in Australia when it comes to the way that they actually process the holidays. If you get into certain countries like Australia, you're into kind of a construct called like multi awards where the pay policy follows the actual job classification rather than the actual employee. On the payroll side, very, very different in terms of how taxes are worked, how all to calculate pension in many cases. From a benefit perspective, the U.S. benefit paradigm doesn't carry outside of the U.S. It doesn't even carry into Canada. In certain countries, for example, Canada, there are national language acts where you actually have to operate equally in reso-national languages, and that has to extend throughout your system documentation, training, website materials and the likes. In terms of record of employment and reporting out HR events to the various types of governments across the world, countries are very specific as to what record of employment information they want from the employees and when they want in what actual format. When you get into the actual money movement system, very different from the U.S. going to Canada, going to the U.K. going to the EU, going to Australia, APJ, very, very, very different. We have built the company to be global from the onset. We started with global customers. In fact, our largest live customers are global. So I think we understand it very well. The work that Joe has been doing inside the actual platform to lift it up, very important in terms of language localization as well. I believe we are now deploying in about 165 countries and that takes a bit of work. And again, organizationally, we pivoted from being a U.S. company operating globally to a true global operating model several years ago with over half of our employees being off continent and we run the organization as a global enterprise. So again, I think we've got quite a long way to go. I would not want to be a new entrant into the global market starting today and competing against the likes of us.
Matthew Wells : Our next question comes from Alex Zukin of Wolfe.
Unidentified Analyst: This is Patrick on for Alex. So during the quarter, with our checks, we've heard the Phoenix payroll system project in Canada starting to ramp. Wondering if you could give us an update on the project, what inning are we in for that initial $16.7 million pilot. And then are we still a few years out from decisions being made on the broader project there?
Leagh Turner: Thanks for the question, Patrick. I think there's 3 things I can tell you about the work that we've been doing with the Canadian government, which we call NextGen, which they call Next-gen -- the first thing I would tell you is that the testing results have continued to be exceptional. And we have concluded the testing. The second thing I would tell you is that the government is now preparing something that they call an initial findings report, which will summarize those testing results and they will present that to cabinet for consideration in the next few months. The third thing that I can tell you, which we view as a positive sign of momentum is that [Alex Pennae], who was originally with the government left to go to industry and has since come back, has been named Deputy Minister responsible for pay and that includes understanding the current Phoenix system and its limitations and thoroughly understanding the results that have emerged from Next-gen and helping to support the path forward. So great progress.
Matthew Wells : Our next question comes from Robert Simmons from D.A. Davidson.
Robert Simmons: So we've seen some consolidation in the partner ecosystem with larger partners buying some kind of regional. Can you talk about what you're seeing there, would be more that to happen and kind of the puts and takes of that dynamic?
David Ossip: Yes. So it's very encouraging. As you know, you saw PwC purchase PeopleForce in the U.K. PeopleForce was a Dayforce consulting organization. And I would expect that PwC purchase people forced to handle the demand that they're seeing or our product. Likewise, in Australia, you saw -- I think it was the Deloitte purchase and force consulting also enforced specifically Dayforce implementations in APJ and again, I would take it as a sign of very strong demand and the big SIs building out their practices
Robert Simmons: That makes sense. And then can you update us on the ideal marketplace? Are you still on track to launch that this year? And then any kind of learnings you've learned so far from worrk be keep on today?
David Ossip: We remain on track -- we will be showing more of it at Insights. We would expect to go live with the first charter customers this year.
Matthew Wells : Our next question comes from Bhavin Shah from Deutsche Bank.
Unidentified Analyst: It's Nick on for Bhavin this evening.,And Noemie congratulations and best wishes on your future endeavors. Just looking at the back to the base sales turning ahead of expectations. Can you dive a bit in on what modules have been helping to drive such strength? And how should we think about the sustainability of that growth going forward?
David Ossip: I think part of it is what we actually spoke about was the change in go-to-market and segmentation of the actual sales for -- also having a dedicated overlay team going back to the base. We're quite meticulous about this. We map out the white space across all of our actual customers. We determine the right time that we can actually approach them. As we look towards a long-term and durable growth strategy, we do believe that sales back to the base has to be a big part of our success as it has been in other scaled software companies. Leagh, anything you would add?
Leagh Turner: I guess the only thing I would add is that our retention rates continue to hold, which means that our customers are very happy with the level of service that they receive from us and the value that they receive. And as a result, happy customers buy more software.
Matthew Wells : Our next question comes from Jackson Ader from Moffettnathanson.
Jackson Ader: Great. I was just curious, when you look at some of these large deals heading through the pipeline or I should say, large go-lives coming at the end of the year. Can you give us a sense of what markers you either can or can't already see that say, yes, we feel really good about these or we might be able to tell in a few months' time, this isn't really a good sign. What are some of the things that you tend to look for as you head into those go-lives that mean that they are indeed going to hit in the fourth quarter.
David Ossip: This is not a business run on luck and chance. We have a weekly meeting a service forecast call where we go through every account that is currently under implementation. For each account, we assign a risk of them actually pushing any account that has a risk of pushing of more than 30%, we go into actual detail. When we actually look at the actual forecast, which we do on a quarter-over-quarter basis, we have a forecasted amount that we hold the sales group account -- sorry, the services group accountable for and has run very well. I mean we have Steve here as well. So anything that you would add from a color perspective?
Steve Holdridge: All I would add is we actually have very good visibility. We have a very good understanding of what we expect to happen, and we have the ability, and we've shown the ability to accurately predict that. So in terms of our view for the second half of the year. I think it's based on a pretty solid foundation and experience, so we feel confident in it.
Jackson Ader: Okay. All right. Great. And then, Leagh, on the full suite penetration, so if half of the kind of new wins in this year are full suite customer base, like 40% or so. What kind of time line do you try and build toward after maybe an initial deal that doesn't go full suite that you end up kind of building toward a road map to getting them full suite of customers.
Leagh Turner: Thank you. Great question. What I would say is done right, and we try and do this more and more consistently. We position a full suite right up front. So we assess the full end-to-end white space in our customer, and therefore, the maximum value that we could contribute and if a customer decides to begin with a SKU or 2, they do it knowing what the total available white space and total available value is, which means that we have an opportunity to go back almost right away to begin talking about expanding the value, particularly so as we take those modules live, we prove that we're doing it on time and on value. You can imagine that customers are quite receptive to expanding their relationship.
Matthew Wells : That concludes our conference call for the night. Thank you, everybody, for joining us. We'll catch up with you over the quarter.